Operator: Good day, ladies and gentlemen, and welcome to the RioCan Real Estate Investment Trust Second Quarter 2025 Conference Call and Webcast. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Ms. Jennifer Suess, Senior Vice President, General Counsel, ESG and Corporate Secretary. Ms. Suess, you may begin.
Jennifer Suess: Thank you, and good morning, everyone. I am Jennifer Suess, Senior Vice President, General Counsel, ESG and Corporate Secretary of RioCan. Before we begin, I am required to read the following cautionary statements. In talking about our financial and operating performance and in responding to your questions, we may make forward-looking statements, including statements concerning RioCan's objectives, its strategies to achieve those objectives as well as statements with respect to management's beliefs, plans, estimates and intentions and similar statements concerning anticipated future events, results, circumstances, performance or expectations that are not historical facts. These statements are based on our current estimates and assumptions and are subject to risks and uncertainties that could cause our actual results to differ materially from the conclusions in these forward-looking statements. In discussing our financial and operating performance and in responding to your questions, we will also be referencing certain financial measures that are not generally accepted accounting principle measures, GAAP, under IFRS. These measures do not have any standardized definition prescribed by IFRS and are therefore unlikely to be comparable to similar measures presented by other reporting issuers. Non-GAAP measures should not be considered as alternatives to net earnings or comparable metrics determined in accordance with IFRS as indicators of RioCan's performance, liquidity, cash flows and profitability. RioCan's management uses these measures to aid in assessing the Trust's underlying core performance and provides these additional measures so that investors may do the same. Additional information on the material risks that could impact our actual results and the estimates and assumptions we applied in making these forward-looking statements, together with details on our use of non-GAAP financial measures can be found in the financial statements filed yesterday and management's discussion and analysis related thereto, as applicable, together with RioCan's most recent annual information form that are all available on our website and at www.sedarplus.com. I will now turn the call over to RioCan's President and CEO, Jonathan Gitlin.
Jonathan Gitlin: Thanks, Jennifer, and thank you to everyone who's joined RioCan's senior management team today. I'm pleased to report that RioCan delivered another quarter of results that demonstrate the strength of our platform, the resilience of our properties and the effectiveness of our strategy. We continue to strengthen our business through simplification and disciplined capital allocation. There's a sustained demand for high-quality necessity-based retail space in Canada's major markets. Approximately 85% of our properties feature a grocery component. This means that RioCan centers naturally serve as convenient destinations for daily shopping needs. RioCan is operating from a position of strength. This is evidenced by new leasing spreads, which reached an impressive 51.5%. Blended leasing spreads were 20.6% this quarter, highlighting the quality of our assets and retailers and the depth of our tenant relationships. This leasing momentum supported same-property NOI growth of 4% after normalizing for prior year provisions and CAM and tax adjustments. Our team executed 1.3 million square feet of leases in the second quarter, including 1.2 million square feet of renewals. We continue to capitalize on the opportunity to mark-to-market our leases while simultaneously improving tenant quality. 72% of the second quarter renewals were done at market rents with a 23.5% blended spread. At the same time, we retained best-in-class essential retailers, including 8 grocery-anchored. We aim to strike an appropriate balance between replacement and retention. We're replacing certain transitional tenants to enhance quality and rent growth. At the same time, we're retaining strong established tenants to mitigate downtime and capital requirements. Given the leasing spreads and occupancy achieved, we're confident this balance has been struck. These outcomes are not coincidental. They're intentional and they are sustainable. They are driven by our focus on tenant quality, asset strength and customer centricity. We are the landlord of choice for Canada's leading retailers, including top-tier grocery operators. Our independence from any single tenant gives us the flexibility to select the most strategic and complementary retailer for each asset. This drives strong co-tenancy. We continue to see a virtuous cycle. Strong retailers drive traffic, which attracts more productive, high-quality tenants, which in turn enhances net asset value and supports predictable, stable revenue with embedded growth. Our committed retail occupancy remains exceptionally high at 98.2%. This figure represents a slight decrease from 98.7% in the previous quarter, primarily attributed to the closure of 3 HBC locations. As we've demonstrated time and again, this is an opportunity for growth. Vacancy allows us to convert less productive retail space into traffic-driving tenancy. RioCan's operational growth is sustainable. The retail sector is experiencing strength. Demand continues to be strong from top-tier necessity-based retailers that thrive in any economic backdrop. Their margins are well protected, allowing them to absorb market rents. At the same time, there's a scarcity of premium retail space and exceptionally high barriers to entry for new construction. This supply-demand imbalance is most acute where RioCan's portfolio is concentrated. Our properties are located in Canada's major markets with an average of 277,000 people and $155,000 household income within a 5-kilometer radius. This demographic strength, combined with limited supply will consistently make RioCan's offering extremely compelling. We're leaning into our strength by creating new retail space. $55 million to $60 million is being allocated this year to retail intensification across existing properties. We own the land, it's zoned, and we have the momentum, capability and tenant demand required for successful execution. Recent examples of this include numerous TJX, Sephora and Chick-fil-A locations. Turning now to financial highlights. Funds from operation per unit increased to $0.47, up 9.3% year-over-year. This growth was driven by strong operating performance, reduced G&A expenses, residential inventory gains and accretion from unit buybacks. We're committed to maintaining a strong balance sheet. Our adjusted debt to adjusted EBITDA improved to 8.88x, and our liquidity position is ample at $1.3 billion. Over the course of 2025 and 2026, we anticipate repatriating $1.3 billion to $1.4 billion in capital to our balance sheet. This will be achieved through the sale of RioCan Living assets valued at $1 billion at the start of this year and the completion of presold condominium transactions. Our capital recycling strategy continues to yield results. As of August 7, year-to-date closed dispositions totaled $230.4 million, consistent with IFRS values and at a weighted average cap rate of 4.3%. This figure reflects the previously announced sales of 4 RioCan Living assets. Including last year's sale of Strata, this brings the total RioCan Living residential rental dispositions to 5, and we have a conditional commitment on the sale of a 6. Year-to-date dispositions also include lower growth assets such as a Cineplex anchor property in Edmonton and the less productive portion of an open-air retail site in Quebec. In addition to monetizing the RioCan Living residential rental portfolio, we're making tangible progress towards the conclusion of our condominium program. As of August 7, the construction loans at UC Tower 2 and 3 have been fully repaid using final closing proceeds. The 11YV loan will be fully repaid by the end of this month. Interim closings have commenced on schedule at Queen & Ashbridge and UC Tower 3. Interim closing at RioCan's last active condo project, Verge, will commence in the third quarter. The disposition of the RioCan Living assets and the conclusion of our condo program is part of our broader effort to simplify our business and focus on our high-performing productive retail core. And importantly, it enables balance sheet improvement and the redeployment of capital into our portfolio, either directly into our core retail business or through our NCIB program. With regards to the NCIB program, in the second quarter, we acquired and canceled 2.3 million units at a weighted average price of $17.25 per unit. This brings the total number of units acquired and canceled to 5.6 million at an average price of $17.99 for a total cost of $100.1 million year-to-date. We view the purchase of our own units as a highly attractive investment. RioCan's unit price is undervalued. It doesn't reflect the underlying value of our platform and its future prospects. We see this as a unique opportunity to acquire a leading portfolio characterized by strong, reliable and expanding core cash flows at a very attractive discount. The Canadian retail landscape is evolving, and RioCan is exceptionally well positioned. The availability of high-quality retail space remains limited, while necessity-based tenants continue to generate steady demand. Our strategy is working. We're consistently delivering record-breaking operational results, simplifying our business and enhancing our financial health and flexibility. We have a team built for stability and growth, a productive retail core, strong balance sheet, efficient infrastructure and a simplified business model. We are confident in the fundamental strength of our platform. Before I conclude, I'd like to take a moment to recognize Bonnie Brooks and Richard Dansereau, who have recently stepped down from our Board of Trustees. We sincerely appreciate their years of insightful guidance and unwavering support, and we wish them continued success in the years to come. I'd also like to recognize RioCan's talented team whose dedication and expertise continues to drive unitholder value. RioCan's team and portfolio fundamentals will serve the trust well now and long into the future. Our core retail portfolio has never been stronger, and we are well positioned to capitalize on the opportunities ahead. We look forward to hosting an Investor Day in November of this year. In the meantime, we'll continue to demonstrate the strength of our portfolio through consistently strong operating results. Thank you.
Dennis Blasutti: Thank you, Jonathan, and good morning to everyone on the call. The key theme for the second quarter of 2025 was the continued strength in our operating results due to the expertise of our team and the supply-demand fundamentals underpinning our business. This is most apparent in our leasing statistics and these results are not an anomaly. We have consistently delivered exceptional lease results over a number of quarters as seen in our 19.2% blended leasing spread on a trailing 12-month basis. The strong leasing results were achieved while sustaining high retention ratios, which averaged approximately 90%. This enables us to maintain occupancy at a level that we consider full, capture mark-to-market opportunities in an efficient manner and demonstrates the value that tenants place on their space. FFO for the quarter was $0.47 per unit, an increase of 9.3% from the prior year. This increase was driven by strong operating results, the ramp-up of earnings from delivered development, reduced G&A and the accretive nature of unit buybacks. SPNOI growth for the quarter was 2%, with this growth rate impacted by the prior year having provision recoveries and higher CAM and tax settlements. Normalizing for these items, SPNOI increased by 4%, which is reflective of the performance of our core business. FFO for the quarter included $0.08 per unit of inventory gains compared with $0.02 in the prior year as we continue to advance the closing of presold condominium units. Disciplined cost management remains a key lever in driving FFO growth. We monitor G&A as a percentage of rental revenue and have successfully managed those costs while revenue has grown. G&A was 3.7% of rental revenue compared with 4.1% in the prior year. FFO per unit benefited from the accretive impact of unit buybacks as we have allocated some of the proceeds from asset sales to buying back our units, which we view as an attractive investment opportunity. These positives were partially offset by the impact of higher interest expense. Our balance sheet metrics continue to improve and will progress further as we expect to repatriate $1.3 billion to $1.4 billion of capital to our balance sheet from asset sales and condo closings over the course of 2025 and 2026. So far this year, we have returned $355 million of capital to our balance sheet from these items, including $230.4 million from asset sales and $124.2 million in construction loan repayments related to condo projects at our proportionate share. This includes the full repayment of the UC Towers loan that relates to both UC Towers 2 and 3. These paydowns also reduced our guarantees related to the 11YV construction loan by $298 million with only $29 million remaining outstanding on the loan. Debt-to-EBITDA continued its steady improvement, ending the quarter 10 basis points lower than the start of the year on both an average debt basis and a spot debt basis at 8.8x and 9.02x, respectively. This metric has been a focus of ours for some time. And as such, it has been consistently improving with declines reported in 7 of the last 8 quarters. Due to the sale of encumbered assets and the repayment of mortgages, our unsecured debt to total debt ratio improved to 60.8%, and our unencumbered asset pool grew to $9 billion during the quarter. Taking into account the impact of sales and mortgage repayments subsequent to quarter end, these metrics improved to 63.2% and $9.3 billion, respectively. While we continue to return capital to our balance sheet, the capital requirements of our development program are also winding down. Committed capital for projects under construction is $72.2 million for the remainder of 2025 and only $22.6 million for 2026. The continued improvement in our balance sheet metrics, along with strong liquidity and access to diverse sources of capital provide us with financial flexibility that we expect will be further enhanced over the coming quarters. Our net asset value per unit at the end of the quarter was $24.89. This value is supported by $656 million of asset sales over the past 2 years. Net asset value increased by $0.27 per unit since last quarter as we compound value driven by growing income in our portfolio. We note that the difference between our net asset value and the current unit price is approximately $7. Let me now bring you up to date on the RioCan HBC joint venture. The value of the RioCan HBC joint venture represents 0.5% of our net asset value or $0.14 per unit. In the context of the net asset value metrics previously discussed, the HBC JV, while topical, is not significant to RioCan's value. In June, RioCan successfully petitioned the JV into a receivership, which will enable a swift and efficient resolution of the assets. At this point, we can report that RioCan has elected not to participate financially in 5 of the 12 assets: Calgary, Laval, St. Bruno, Square One and Scarborough Center. We will continue to support our banking partners by providing our operating expertise, and we'll work with the stakeholders to determine solutions for all of the remaining assets in the JV. As a reminder, the vast majority of the JV debt is on a nonrecourse basis to RioCan. This means that we are not obligated to inject capital unless it yields a return that is competitive with other uses. To summarize, there are 3 key takeaways. One, our portfolio team have delivered strong, consistent operating results and are well positioned to maintain this performance. Two, our balance sheet has strengthened with further improvements expected as we repatriate capital through the remainder of this year and into next. And three, our core business is solid and growing and is positioned to compound value for many years to come. There is currently a wide gap between net asset value and unit price, which provides an opportunity to invest in an irreplaceable portfolio at a discount. With that, I will turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Lorne Kalmar with Desjardins.
Lorne Kalmar: Dennis, if you wouldn't mind just giving a little bit more color around what exactly it means that you won't participate financially in 5 of the 12 assets and how you kind of chose those 5?
Dennis Blasutti: Sure. What it means is that we will not put any more money into the assets in any form. So I think that's a pretty straightforward answer. We are working through all of the assets in the process. But from a decision-making perspective, the conclusion was that there -- given the amount of debt associated with the assets and their prospects that there was no financial return available for RioCan. As such, we've done what we said we were going to do, which is not allocate capital to assets where we will not earn a competitive risk-adjusted return. So that's the straightforward decision-making process there.
Lorne Kalmar: Okay. And then I guess that kind of leaves out all of the, I guess, more traditional department store assets that you guys have in the JV and obviously, the 2 mall assets. So is there any update on plans for those or not at this moment?
Dennis Blasutti: So we are working through all of them. I'm not sure there's much update that we can give other than to say that we will remain disciplined from a capital perspective. On the mall assets where we own the remainder of the mall, we are pursuing tenants actively. So that's just an ongoing process that we'll work through over the next few months.
Lorne Kalmar: Okay. And then maybe just switching over to the condo side of things. I think last couple of quarters, even you guys kind of gave like a progress how you're tracking relative to closings expected during the quarter. Can you maybe update us on how that sort of trended for 2Q and then also provide the level of condo profits contemplated over the balance of the year in your guidance?
Jonathan Gitlin: Yes, sure. It's Jonathan. So the progress to date has been in keeping with the guidance we provided earlier in the year. For the remainder of the year, we still have a number of closings to accommodate. And the market is weakening. But that being said, we still feel confident in our original guidance that the overall gain from inventory will be between $70 million and $80 million. So it's -- but it is definitely a bit more rocky now than it was at the beginning of the year with respect to the individual closings. Good news is we've got great partners and our own RioCan Living team, and they're seasoned and good at dealing with these processes. So we do feel good about the prospects of continued strength in the closings.
Lorne Kalmar: Okay. So I guess just one last one. Are you guys kind of tracking in line with that -- I think it was a 6% default rate you sort of highlighted previously?
Jonathan Gitlin: I think looking forward to the end of the year, I think that will be slightly higher just based on what we're seeing in the market now. But again, it doesn't impact the overall guidance of $70 million to $80 million of inventory gains for the year.
Dennis Blasutti: We've also had some benefits of some cost savings as well. So we are performing very well from a construction perspective. So that also helps from an overall gain perspective, even if we do see some more risk.
Operator: Our next question comes from the line of Michael Markidis with BMO.
Michael Markidis: Hate to do those because I know it's only 0.5% of NAV, but just on the HBC side. Just to clarify, so have you -- I think there was $105 million of debt attached to 3 of those 5 assets that are not participating in. So does that mean that you've effectively walked away and that debt is disclaimed at the end of the day?
Dennis Blasutti: Not all of these are disclaimed per se from the perspective of, say, the ground leases, et cetera. But those are now decisions that are not in our hands, and we're not participating financially. So it will be up for the other stakeholders to decide exactly how those assets will play out.
Jonathan Gitlin: But we are not liable for that. We're no longer liable for that debt.
Michael Markidis: Right. Okay. You're not liable for the debt. And then is the -- you're not paying the -- like I think there's only one lease -- yes, so there's some where they're ground lease or the lease interest. So are you paying leasehold rents still on those or effectively nothing going into it.
Dennis Blasutti: Yes, I'm sorry. We're not paying any financial amount. So it's up to the other stakeholders to decide if they want to continue to fund operating costs at those assets.
Michael Markidis: Okay. So for all intents, you've walked away from these and you're not putting any money into and you're not paying anything in it?
Dennis Blasutti: Yes.
Michael Markidis: Okay. So on the remainder, I guess, if a lot of the debt here is nonrecourse, I mean, like what -- why not just do that on the rest of the properties, I guess, that don't have recourse debt a lot of preserve value here or just trying to...
Jonathan Gitlin: We're assessing where there is value and where there isn't, of course, this is a logical tactic. So we really are exploring each of the assets. And one by one as we make progress, we'll update the market. But this is -- so far, the 5 assets that we've effectively alleviated ourselves of the financial burden. This is in keeping with our objective of a swift outcome, and we expect to fully conclude on this overall chapter as quickly as possible. So you'll see, again, more progress on the assets, and effectively, whether we take the same stance as we did on the first 5 or a different tactic, it's all about what is in the best interest, of course, of our unitholders and where we cannot get an adequate risk- adjusted return, then -- and there's no recourse then the same outcome will logically prevail.
Dennis Blasutti: And Mike, what I would say, just in addition, on those remaining assets, we are still funding operating costs. However, those are -- it's effectively a DIP financing. So it lands ahead of all the other debt in the assets, and we're very comfortable with our ability to recover those even if there's no equity value remaining in the asset, there will be a sufficient value to recover our DIP loan, which is about $3 million today.
Michael Markidis: Okay. No, that was actually going to go into my next question. So there's no FFO drag in the interim. You're getting the DIP interest to offset, I guess, the cost. Is that the way to think about it?
Dennis Blasutti: Yes.
Michael Markidis: Got it. Okay. Focusing on your core business, just pretty weak unemployment print today. And I guess the macro headwinds may be getting a little bit harder. Maybe your portfolio is performing remarkably well. Just wondering if you could give us an update on how lease discussions are going today versus where they would have been going 6 to 12 months ago.
Jonathan Gitlin: Equally strong, I mean, we have been focusing on tenants that while not totally impervious to economic gyrations like this, Mike, they are well suited to ride these kinds of waves. And just given the backdrop of there being such a limited amount of space available within Canada, particularly where you get a demographic profile like ours, which has improved yet again with 277,000 people living within a 5-kilometer radius and an average household income of $155,000. That's exactly where tenants want to be. And so where they see the opportunity to get that space, they're jumping at it. And that's really, I think, echoed in the conversations we're having with them. And retail evolves, as we know. So there's always going to be some softness in some of the more -- the non- necessity-based types of tenants. But the good news is that we see a pretty high degree of interest from other tenants, more resilient tenants who would take that space. So I would say that the overall tone out there is still very strong, particularly amongst the good domestic tenants, the grocery anchors, the pharmacies, the dollar stores and also QSRs, quick service restaurants. So I'd say on balance, it's still a very strong tone in a very favorable environment. And we really don't see this subsiding even in the face of some economic weakness in Canada. I'll just look over to John Ballantyne, our Chief Operating Officer, to make sure that I miss anything there.
John A. Ballantyne: No, you didn't miss anything, Jonathan. Again, we're very happy with the spreads that we're showing particularly on the new leasing spreads. I'd like to have thought that this quarter was a new record, but I was reminded that Q2 of last year, we actually had 52%. So this is becoming normal course for us, and it's really driving the behavior of our team accordingly. We've always had great tenant relationships, but this is the first time in quite some time that we're actually in the landlord market rather than the tenant market. And the result of that is we're pushing hard for growth.
Michael Markidis: No, that's great to hear. And then just, I guess, on the same-property NOI, 2% this quarter. Can you just remind me the 3.5% that's in your guidance, is that the headline figure or the adjusted figure? I guess you guys present 2 figures.
Dennis Blasutti: That's the headline figure, Mike.
Michael Markidis: Okay. So you expect to see an acceleration in the second half of this year?
Dennis Blasutti: Yes.
Operator: Our next question comes from the line of Matt Kornack with National Bank Financial.
Matt Kornack: Just with regards to the properties that you own with HBC in them, it sounded like you've had some interesting conversations with tenants. Can you give us a sense as to whether you'd expect those to be kind of single tenants that would take that type of space or if you demise type of space or if you demise some of them and individual tenancies?
Jonathan Gitlin: Yes. I mean it's a mixed bag depending on the space that we're talking about. We are speaking on a few of the assets to single users, some of them very much conventional users of the space, which will, in all cases, improve the general flow of whatever shopping environment they're part of. But I can't really give you more specifics because these are all really in flight. But I will tell you, again, on balance that every one of the tenants that we're speaking to on the spaces, whether they ultimately materialize or not, will be net additive to the shopping environment in which they exist and certainly be a better co-tenant than the prior user HBC.
Matt Kornack: And those were legacy leases that were vended into the joint venture. So they're at kind of low in-place rents with potentially some upside on leasing. Is that fair to say?
Jonathan Gitlin: Are you talking specifically about Georgia Mall and Oakville Place?
Matt Kornack: Yes.
Jonathan Gitlin: Yes, they definitely are.
Matt Kornack: Okay. Fair enough. And then maybe if you could just give us a sense of capital allocation-wise, including HBC and other opportunities, kind of what your thresholds are return-wise kind of doing smaller investments versus maybe larger ones as well as buying back the stock?
Jonathan Gitlin: I think -- I mean our threshold internally is 8% unlevered. And so we're really seeking opportunities that have that threshold -- that pass that threshold through initial income plus growth. And we're seeing those opportunities arise in a few respects. One, of course, is NCIB, which gives us that automatically. But the other is building out pads and strips where we already own the land. And we're seeing those opportunities now come to the forefront because rents are creeping up pops, we're able to control a little bit more. And so we're finding those organic opportunities within the portfolio. And then, of course, as long as we maintain -- as long as we hit and maintain the balance sheet metrics that we're coveting, then after that, I think we've got a few different opportunities, including maybe even purchasing properties where we feel we can create growth going forward to hit those thresholds.
Dennis Blasutti: Matt, we did say in our comments, we -- our large-scale development program is winding down, very little committed capital remaining there. So we are focused on those retail infill opportunities that provide a quite attractive risk-adjusted return and don't have the duration that you need to do on the larger developments.
Jonathan Gitlin: Plus they add NAV, plus they add same-property NOI growth almost immediately. So it's a really good opportunity for us, and we've got the team and the tenant reach to bring in excellent tenants to these sites.
Matt Kornack: Okay. Makes sense. And then you have a large amount of kind of low or no-yielding capital coming back to you? How should we think about how you'll deploy that into deleveraging or potentially expanding the portfolio?
Jonathan Gitlin: Well, I'll start by reiterating that our objective is to get to the mid- to low 8s from a net debt-to-EBITDA perspective. And provided we achieve that, which we're highly confident we will, given all of the capital coming back to us, then the options we have with free cash flow are -- there's many of them, one of which we just described, which is putting the money back into our own shopping centers through improvements and build-out of strips and pads. Of course, the other is NCIB, and then we can also look to -- if we're in that position and we -- and there's availability, acquiring assets that are under managed and turning them around, which we've shown a significant amount of success with in the past. So we have a few different arrows in our quiver and we'll assess at the time. But again, ensuring that we do reach a heightened balance sheet outcome.
Operator: Our next question comes from the line of Mario Saric with Scotiabank.
Mario Saric: First question, just coming back to HBC, maybe for Dennis. At what point do you think RioCan can put out a total expected CapEx budget for dealing with the HB space, including Oakville Place, Georgian Mall, Tanger Ottawa and target redevelopment returns on the stuff that you plan to put money into?
John A. Ballantyne: Mario, it's John Ballantyne. Look, again, we're being governed by a fairly strict CCAA process right now and associated NDA. We can't really get into details as to what we're negotiating. I can tell you on the 3 stores in the malls that we manage or the centers we manage. Again, as Jonathan said earlier, we're looking at both single-tenant and multi-tenant solutions. To that extent, I mean, I can give you a very general range between $100 and $125 a square foot as backfill capital. And again, that's going to generate a fairly significant return based on the underlying rents that HBC is paying and the market rents that we're going to achieve on backfilling the space.
Mario Saric: Got it. And Jonathan, is that the 100 to 125 a square foot, is that a mixture of single and multi-use tenant? Or is that single-use tenant only?
Jonathan Gitlin: It's a mixture.
John A. Ballantyne: It's a mixture.
Mario Saric: Okay. And then I think just sticking to HBC, I believe on the Q1 call, you noted the $209 million write-down assumed leasing all of the HBC space as retail in the JV. I think that investment saw a very modest decline this quarter, maybe plus. Is that still the underlying assumption behind that value that you recorded outstanding transferring some of the HB space into providing financial resources bucket?
Dennis Blasutti: So yes, I mean, we had to make an assumption to get there. As a reminder, it's the total value of the JV is $0.14 on a total equity value of $24.89, which is 0.5%. Another interesting factor is that we added $0.27 per unit of NAV this quarter. So in a single quarter, we've added more NAV than HBC is reflected on our books. With that said, we did have to make an assumption. The 5 assets that we talked about that we're not involved in anymore, the sum total of the equity that we have on the books on those or have on the books, now is in the single-digit millions. So we probably have a small write-down there. Likewise, we will likely, over time, move some of that value from inside the JV to outside the JV on certain assets that we think we may want to own. So that's how we expect that to evolve over time. But I do think the overall view on this in total is this is not a significant equity amount in RioCan's balance sheet overall.
Mario Saric: Understood. Okay. My last question, maybe shifting gears to RioCan Living. I think, Jonathan, last quarter, you mentioned kind of a 12- to 24-month time line in selling the remaining assets other than that, perhaps being 9 to 21 months now. Has anything else changed in the market with respect to investor appetite that could either lengthen that process or shorten the duration of that process?
Jonathan Gitlin: No, I think it's still the same. We feel that the assets are unique and that there's a deep and improving market for them. So there's no change, Mario.
Operator: Our next question comes from the line of Sam Damiani with TD Cowen.
Sam Damiani: Maybe not to keep harping on it, but just, I guess, one more question on HBC. Actually, I'm going to dispense with that. I think we've got all that. Jonathan, I think you mentioned in your comment or to an answer to a question earlier that the goal on debt-to-EBITDA was mid- to low 8s. Is that the sort of updated target for next year? I believe it was previously communicated at just low 8s.
Jonathan Gitlin: Yes, that's -- I mean, we're going to provide color at our Investor Day as to exactly what our longer-term objective is, but we feel very confident in that range right now being an appropriate range at mid- to low 8s.
Sam Damiani: Okay. Okay. And then just on the tenancy side, we did see Decathlon close their Toronto stores. Claire is obviously another big tenant. But like is there any indications here of stress that are being felt by perhaps some other retailers in your portfolio that maybe has changed your watch list a little bit?
Jonathan Gitlin: There's always going to be retailers that are going to be feeling stress. We've got over 5,000 different tenancies. And amongst those, there's always going to be businesses that just find themselves on the wrong side of the cycle or a use that is no longer relevant. The good news for RioCan is that we've got such a diverse tenant base and very, very strong space that's in again, to repeat a very high demographic profile. And because of that, whenever there's a weak tenant, we actually now view it very much as an opportunity to shift it out with a stronger tenant. And the good news is that on balance, there's more stronger tenants looking for space than there are weak tenants looking to shed space. So you're always going to get declares of the world who are going to be bankrupt. And the good news for us is that we've got great backfill opportunities for those. And I don't see that subsiding anytime soon. It's a very good condition for us to be in, Sam. And we think that because of the supply constraint environment we're in and the very high barriers to entry to build anything new, this is a condition that we're going to benefit from for quite some time. And we've got -- we're not beholden to any one tenant. We've got a wide range of prospective tenants who are all getting more and more dynamic and flexible in their space requirements. So we also benefit from that whole notion that there used to be prototypical space, and I think that notion has dissipated entirely, where grocery stores are now happy to wedge themselves into different kinds of spaces than they used to or dollar stores are happy to go into different spaces than they used to go into, and that provides a much broader expense of potential tenants where we do see any fallout. So I would say, again, there's, of course, going to be things you could focus on if you're looking at this from a negative perspective, where there's going to be some softness in and around retail. But on balance, this is a very strong market with some very strong retailers looking to grow their footprint. And RioCan is poised to capitalize on that trend.
Sam Damiani: That's helpful. And just on the purpose-built rental side, I know you guys have kind of rejigged your development group there. And the strategy has obviously evolved in recent years. But just as you stand here today, maybe versus a year ago, are you any more optimistic on the prospects for doing some purpose-built residential development in the next few years?
Jonathan Gitlin: So I'll be clear on a couple of things. First of all, we still have 20 million square feet of zone density, and that just doesn't disappear even though the market has shifted a little bit. Second of all, we do have expertise within RioCan. And I think that between the combination of those 2 things, there will be an environment where there is productivity out of our RioCan living space. But what I will say is that we are not going to commit the same amount of capital that we would have done in a prior cycle. If we did development, it would really be using the 2 elements that we bring to the table, expertise and land, but not a lot of capital. And I think that there are conditions that are changing. Costs are coming down. Rents, of course, have, I would say, tailed off a little bit. But I do think that we're in a situation now where the market has been flooded, particularly in Toronto with a lot of new inventory. But over time, that gets absorbed. And I do think that when that cycle ends, there is going to be a need for more space. I also think that there's chatter about the government, the federal government providing some incentive to create new purpose-built rental. And so we're going to keep our ear close to the ground to see if that changes the conditions, changes the financial outcomes of some of these development sites. And I'm optimistic that in a place like Toronto, it will. And at that time, we are again going to be poised to take advantage of it, but again, in a different manner than we would have before. So -- and I think there's also going to be a lot of investors who are going to seek out that type of asset again. So I never want to say never. So I do think there is a use potentially for this in the future, just not immediately.
Operator: [Operator Instructions] I am showing no further questions at this time. I would now like to turn the conference back to President and CEO, Jonathan Gitlin.
Jonathan Gitlin: Thank you, everyone, for joining, and have a great summer weekend.
Operator: That will conclude today's call. Thank you for your participation, and have a wonderful rest of your day.